Operator: Ladies and gentlemen, greetings, and welcome to the Olo Inc. First Quarter 2025 Earnings Conference Call. At this time, all participants are in the listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Gary Fuges, Senior Vice President of Investor Relations. Please go ahead.
Gary Fuges: Thank you. Good afternoon, and welcome to Olo's first quarter 2025 financial results conference call. Joining me today are Noah Glass, Olo's Founder and CEO; and Peter Benevides, Olo's CFO. During this call, we will make forward-looking statements, including, but not limited to, statements regarding our expectations of our business, our industry, our operations, and future financial results. These statements reflect our beliefs and assumptions only as of today and are subject to a variety of risks and uncertainties that could cause actual results to differ materially. For a discussion of these material risks and uncertainties, please refer to our Form 10-Q, which was filed today and our other SEC filings. During this call, we'll present both GAAP and non-GAAP financial measures. Reconciliations to the most directly comparable GAAP measures are available on our earnings release, which is available on the Investor Relations' page of our website. Finally, in terms of our prepared remarks or in response to your questions, we may offer incremental metrics. Please be advised that this additional detail may be onetime in nature, and we may or may not provide an update in the future on these metrics. With that, I'll turn the call over to Noah.
Noah Glass: Thank you, Gary. Hi, everyone. Thank you for spending time with us today. In the first quarter, Olo built on the momentum we sustained over 2024. We exceeded the high end of our revenue and non-GAAP operating income guidance ranges. We added approximately 2,000 locations quarter-to-quarter, and we made early progress on our three 2025 priorities; scaling Catering Plus, ramping Olo Pay card presence, and increasing the number of Olo flywheel brands. And today, we're sharing two exciting customer signings that we believe further validate our strategy, a Catering Pus pilot with Chipotle, a new top 25 brand for Olo and an Olo Pay card presence full deployment deal with an existing publicly-traded enterprise customer. I'll review the first quarter go-to-market and product highlights, and then Peter will discuss our Q1 financial performance and our updated guidance. We'll then take your questions. Olo ended the quarter with approximately 88,000 active locations, adding approximately 2,000 net new locations over the first quarter. Our gross revenue retention increased sequentially, and we continue to expand with customers as reflected in Q1's 12% year-over-year ARPU growth. We started the year off with a strong Q1 of new and expansion deployments in both our enterprise and emerging enterprise brand categories. Enterprise new deployments included Ben & Jerry's, which implemented ordering, rails and Olo Pay card-not-present. We also launched rails with Gong Cha and Pilot Travel Centers. Expansions included Catering Plus with El Pollo Loco, Halal Guys, and Salad and Go, Dispatch with Waffle House and Olo Pay card-not-present with First Watch, who is now a flywheel customer. Adding flywheel customers is one of our 2025 priorities. And today, we have more than 70 brands using Olo Order and Olo Pay to generate digital transactions, and Olo Engage GDP and marketing automation to aggregate and activate the data to drive guest engagement. We believe our early conviction in Olo Engage and the transformative power of leveraging guest data is paying off. In emerging enterprise, we deployed multiple modules with more than a dozen new brands, such as Cupbop Korean BBQ and Swensons. Expansions included Rubio's and Sonny’s BBQ, who both added Olo Pay card-not-present to their order and catering plus channels. With its expansion into Olo Pay, Sonny's joins our list of flywheel customers. Enterprise restaurants choose Olo because of our commitment to their success, and we are honored that Texas Roadhouse, the largest casual dining brand in the US, recently named Olo as its 2024 Vendor of the Year. We believe this recognition speaks volumes about the strength of our technology and the dedication, creativity and excellence King Olo brings to solving complex challenges at scale. And today, we're announcing that Chipotle, a new top 25 brand for Olo, will pilot multiple Olo modules across a subset of locations to support their catering channel. It's a great validation of our platform's strength and modularity as Chipotle will use Olo to power its catering channel as a complement to their in-house tech. We're committed to helping Chipotle enhance their catering channel, and we look forward to sharing our progress together later this year. Another 2025 priority is to begin ramping Olo Pay card-present, and I'm pleased to announce that one of our existing publicly traded enterprise brands has signed to fully deploy Olo Pay card-present. Once implemented with card-present, this brand will become our first flywheel customer to aggregate full stack payment transaction data alongside digital ordering data into the Engage GDP. It's a great milestone on the Olo Pay journey and the Olo Guest Data Flywheel strategy. Catering, card-present payments and leveraging guest data were key themes at our sixth Annual Beyond4 Customer Conference, which we hosted in mid-March. We had record attendance with over 130 brands and 200-plus attendees and 18 brands presented how they leverage Olo and other partners to run their businesses more efficiently. We hosted demos for Catering Plus, Olo Pay card-present and Olo Guest Intelligence, a new capability I'll discuss shortly. We also shared that Borderless, our passwordless checkout feature is now used by approximately 450 brands. Borderless guests are now over 16 million, and we're beginning to see organic network effects here. For example, more than 2 million Borderless guests have used Borderless at two or more brands, up more than 10x from a year ago. That's more Borderless guests transacting more broadly across the Borderless network, which we believe is a win for guests, for brands and for Olo. In product innovation, our Spring Release highlights included a catering plus calendar feature that improves catering team planning and operations, and Engage integration with Thanx, our third preferred loyalty partner integration and the beta launch of Olo Guest Intelligence, or OGI. OGI services guest metrics directly into the Olo dashboard, making it easy for brands to gain valuable insights that help inform their business decisions. OGI has been incredibly well received by our customers. More than 700 of our brands have used it in its first month of availability, and we believe OGI will become even more valuable when we integrate Olo Pay data later this year. Guest data aggregation is one of Olo's key competitive differentiators, and OGI is putting that data to work to help brands succeed. Before I turn the call over to Peter, it's my pleasure to welcome Parrish Chapman as our new Chief Sales Officer, who joined us on May 5. Parrish has everything we were looking for in our next sales leader, enterprise restaurant experience, a proven track record as a sales leader, and they'll be working from our New York City headquarters. You can read Parrish's full biography on our website, and I'm sure you'll see why we're excited to welcome him to Team Olo. Q1 was a strong start to the year. Olo is a mission-critical partner to restaurant brands, and we believe our value proposition remains compelling in an environment of rising input costs and increasing macroeconomic uncertainty. We take nothing for granted. And with nearly 20 years of experience and a large base of enterprise limited service restaurants, we've seen many of our brands weather past economic challenges and benefit from a trade-down effect in consumer behavior. With our scaled network, reliable platform and experience in helping brands do more with less, we believe Olo is well positioned to help restaurants capitalize on the secular trend of digitization. I'll now turn the call over to Peter for a review of our Q1 financial results and guidance. Peter?
Peter Benevides: Thanks, Noah. Today, I'll review our first quarter results and our guidance for the second quarter and the full year 2025. In the first quarter, total revenue was $80.7 million, an increase of 21% year-over-year. Platform revenue in the first quarter was $79.2 million, an increase of 20% year-over-year. All product suites performed better than expected in the quarter. Active locations were approximately 88,000, up approximately 2,000 locations sequentially due primarily to strong customer deployment activity and some implementations being pulled forward into Q1 from Q2. We continue to expect to add approximately 5,000 net new locations in 2025. ARPU for the first quarter was approximately $911, up 12% year-over-year due primarily to increased order volumes and modules per location. Net revenue retention was 111%. Gross revenue retention remains above 98% due to the strength of the platform and breadth of solutions. For the remainder of the Q1 financial metrics disclosed, unless otherwise noted, I will be referencing non-GAAP financial measures. Gross profit for the first quarter was $49.2 million, up 18% year-over-year and gross margin in the quarter was 60.9%, driven in part by solid nonpay revenue performance and continued improvement in Olo Pay gross margin. Gross profit and gross margin also benefited from approximately $1 million of onetime cost of revenue adjustments associated with Olo Pay. Excluding these onetime benefits, Q1 gross profit year-over-year growth would have been approximately 16% and Q1 gross margin would have been roughly in line with the gross margin from the prior quarter. Q1 total operating expenses increased approximately 5% year-over-year in Q1, which reflects the impact of the cost reductions enacted in late September 2024 and our continued focus on managing operating expenses. On a percentage of revenue basis, all operating expense lines were lower in Q1 than in the year ago period. Operating income for the first quarter was $11.5 million, up from $5.6 million a year ago. Operating margin was 14.3% in Q1, an increase of approximately 580 basis points year-over-year. Net income in the first quarter was $11.8 million or $0.07 per share based on approximately 179 million fully diluted shares. In Q1, Olo was also profitable on a GAAP basis at $0.01 per fully diluted share. This strong bottom-line performance reflects both revenue and gross profit outperformance and continued expense discipline. Gross profit Rule of 40 performance, which we define as year-over-year gross profit growth plus NGOI as a percentage of gross profit was 42% in Q1, and we achieved a Rule of 38 when adjusting for the onetime Olo Pay cost of revenue benefit I discussed earlier. Turning our attention to the balance sheet and cash flow statement. Our cash, cash equivalents and short and long-term investments totaled approximately $402 million as of March 31, 2025. Net cash provided by operating activities was $0.5 million in the quarter compared to $6 million in the year ago quarter. Free cash flow was negative $1.9 million compared to $2.8 million a year ago. Q1 cash flow metrics primarily reflect operating income performance and working capital timing. Starting in Q1, payment terms from a partner changed from billing one quarter in advance to 30 days in arrears, which impacted this past quarter's cash flow metrics. Normalizing for this timing change, free cash flow in Q1 would have been approximately $4 million. I'll wrap up by providing our guidance for the second quarter and full year 2025. For the second quarter of 2025, we expect revenue in the range of $82 million and $82.5 million and non-GAAP operating income in the range of $11.5 million and $11.8 million. For the full year 2025, we expect revenue in the range of $338.5 million and $340 million and non-GAAP operating income in the range of $48.6 million and $49.8 million. Our full year 2025 outlook reflects many of the assumptions we shared on our February call regarding the mix of incremental revenue coming from existing projects in deployment versus new business signed and deployed intra-year, location count growth, Olo Pay revenue contribution and gross profit and operating expense growth. Full year 2025 guidance also includes the expected impact of the Chipotle pilot and the enterprise brand pay card-present signed contracts Noah discussed. The 2025 guidance we set in February was based on expectations of consistent growth in digital ordering, a continued need for restaurants to deploy technology to improve efficiency and offset rising costs and macroeconomic uncertainty. Based on what we see today, our updated 2025 guidance continues to reflect these factors. That said, we believe the segment of the market in which we operate, enterprise brands with an emphasis on limited service concepts makes our business more resilient than others. We believe enterprise restaurants are better positioned than SMBs to withstand downturns and limited service concepts tend to benefit from a trade-down effect in consumer spending. We experienced these trends during prior downturns, such as during the 2008 through 2009 financial crisis, and believe the nature of our business, along with the need for brands to do more with less to succeed, helps Olo's performance in times of greater economic uncertainty. And based on Q2 and 2025 ordering trends to date, we've begun to see signs of the trade-down effect taking shape with same-store sales for limited service concepts gaining share as compared to full service. Gross profit Rule of 40 performance remains a priority for us and updated guidance still implies that we meet or exceed gross profit Rule of 40 in Q4 of this year. Regarding second quarter 2025 guidance, note that annual compensation increases hit in Q2, as was the case in 2024. Also recall that we had approximately $1 million of non-recurring high gross margin revenue in Q2 2024, which makes the year-over-year gross profit comparison more challenging for Q2 2025. Adjusting for the one-time items impacting Q2 2024 and Q1 2025 gross profit and considering our Q2 2025 guidance, we expect normalized year-over-year gross profit growth in the first half of 2025 to be approximately 14%, which would be an acceleration from normalized year-over-year gross profit growth of 12% in the first half of 2024. To wrap up, Olo is off to a great start in 2025 with top and bottom line performance that exceeded our guidance ranges, GAAP profitability and the achievement of gross profit Rule of 40 in the quarter. We are executing on our strategy while taking a prudent approach to guidance in light of the current macroeconomic environment. We are confident in our prospects, given our focus on enterprise scale brands and limited service concepts, which have shown to hold up better in more challenging markets relative to SMB and full-service restaurants. With that said, I'd now like to turn it over to the operator to begin the Q&A session. Operator?
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session [Operator Instructions] Our first question comes from Terry Tillman with Truist Securities. Please go ahead.
Connor Passarella: Great. Good evening, team. Connor Passarella on for Terry. Appreciate you taking my question. I guess just to start, congratulations on the Chipotle pilot. Just kind of wanted to hear a little bit more about what the deal means for, I guess, Catering Plus and top 25 brands in general. And then also, I'm sorry if I missed this, but I think you said multi-module deal. Is there just -- is there anything you can kind of say from an adoption standpoint in terms of core Olo offerings there?
Noah Glass: Hey Connor, thank you. This is Noah. I'll take that one. So yeah, we're excited about this Catering+ pilot with Chipotle. And I think we've been saying for a couple of quarters now how excited we are, generally speaking, about Catering+ as both an upsell opportunity for existing customers and an opportunity for us to land and hopefully expand with new customers, inclusive of top 25. Chipotle is a great example of that. And you're right. We talked about it as a multi-module win. Without going into specific details on Chipotle, in Catering+, what we typically see is it's a module that is custom-built for the catering use case. So it has components, features built into it around tax-exempt status, house accounts, production sheets, prep slips. All of those things are specific to the catering use case for ordering. The modularity of the Olo platform really comes into play when you can add other modules onto that catering instance just like you can for a takeout ordering instance. So examples for catering could be things like Olo Pay, for these catering transactions, things like enabling delivery through either first-party using dispatch and delivery service providers who are purpose-built for large-format orders, catering orders that tend to be much, much larger, $350 on average across our system -- rails for catering-specific marketplaces. We've talked about our relationship with ezCater, in the past and in recent calls. And then also, a very popular way for guests to order catering, for catering guests to place orders is through the phone. And we have a platform that maybe we don't talk about as much as others, but called Switchboard, and that is purpose-built for a guest who is calling in over the phone, and speaking to someone either inside the restaurant or in a call center to field that call through the Switchboard tool, enter in that order, and put that order, though it's being placed over the phone through voice, into the digital ordering platform. All of those are really great examples that attach to the Catering+ module. And we're excited that, in the case of Chipotle, it is a multi-module pilot and not just limited to the Catering+ module itself. And a great example and validation of what we've been saying around Catering+ enabling us to get an audience with the top 25, and in Chipotle's case, a top 25 brand with a history of doing homegrown technology, in this case, seeing the value in the Catering+ module itself and Olo's larger set of modules to augment their existing catering program.
Connor Passarella: Great color, I appreciate that. Peter maybe just a quick follow-up for you, on the gross margin, gross profit benefit from the cost of revenue adjustment there. Just anything you can say about maybe just some more color you can provide around the Olo Pay impact and then also just anything on a go-forward basis we should be worried about there?
Peter Benevides: Yeah. So in terms of the one-time impact, in terms of absolute dollars, it's about $1 million of one-time impact. Two-thirds of that was related to our new go-forward agreement with our underlying processor and about one-third of that being driven by card mix in the given quarter, meaning seeing a bit more debit and overall mix versus credit, which you've heard me say in the past, tend to lend itself to better underlying economics. That last one-third, when we think about the go-forward model, that's not an assumption that we're running through, meaning if that mix persists, that would be upside to the model. But currently, we're not anticipating that at this point. That said, when you think about the guide in terms of top line revenue and kind of what we've shared from a margin profile, we anticipate on a full year basis, gross margins to come down in aggregate between about 250 to 275 basis points. And then that will obviously happen as we move throughout the year and start to scale into the card-present opportunity.
Connor Passarella: Great. Thank you, both.
Operator: Thank you. Our next question comes from Matthew Hedberg with RBC Capital Markets. Please go ahead.
Mike Richards: This is Mike Richards on for Matt. Nice results and congrats on the big wins here. Yeah, I appreciate all the tariff commentary and how you guys have supported your customers through the past few years of macro uncertainty. Maybe just taking it one step deeper, what are you actually hearing from customers post Liberation Day? Is this the straw that breaks the camel's back and they're really trying to lean in now? Or is it just one more thing in a period of just rising input costs over the past few years here? Yes. Any detail there? I appreciate it.
Noah Glass: Mike, thanks for the question. This is Noah. I'll take that one. I think it is kind of one more thing for the industry, another component in challenge profitability for our industry. The nice thing about the restaurant industry, of course, is that it is a nondiscretionary good that we sell and people have to eat. And what we've seen in other times of economic uncertainty is that people don't trade out of the restaurant category. They don't magically learn how to cook, go get ingredients from the grocery store and cook for themselves. But what we see, and Peter spoke to as well in his prepared remarks, is that guests opt for more limited service restaurant options instead of maybe the high-end restaurants that they might go to in times of less economic uncertainty. That is actually a good thing for Olo's customer base because two-thirds of them are limited service restaurants. We also see that enterprise chains are in a better financial health position than SMB. They tend to gain share during moments like this. And again, we've experienced this 2008, 2009, 2014, 2020 with a lot going on in that year, of course. But we see that these things are a pattern of those times of economic uncertainty and that if we look at something like our order volume per day per store coming through the platform, we see strength in those numbers even, as Peter mentioned, in the beginning of Q2. So I guess that's the time period that you're asking about specifically. And that gives us confidence that we're seeing the same thing that we have seen historically and that our restaurants are going to have a digital ordering tailwind even if they have some other headwinds in their business. I think also worth noting that, I think our restaurants have relatively limited exposure to some of the tariffs impacting their input ingredients. Most of those, as we've sort of looked and talked to our brands are sourced domestically, and that's also a helpful fact about our customers vis-a-vis the tariff situation that we're in.
Mike Richards: Thanks Noah. I appreciate it. Obviously, not expecting you to comment on M&A rumors here, but maybe we could take a step back and look at Olo moving forward and how you guys have built out the platform. Maybe you could just talk through you guys as a center of gravity in this world of restaurant tech?
Noah Glass: Yes. I think we spoke about this a bit on the last earnings call as we think about the difference between what is the staff-facing tech stack, the point of sale and what Olo represents, which is the guest-facing tech stack. And as we think about it, really the guest data gravity control point. And that is true of all the things that we offer to our customers that they are helping them to gather more guest data. Olo Pay card-present is yet another great example of that, unlocking the 82% of industry transactions that are non-digital and pulling those into what we consider to be the guest data platform for the brand. That is a really big and consequential moment for our industry. And at our customer conference, a couple of months ago, I talked about this being this inflection point where we now are able to get to 100% digital of every transaction being pulled into the guest data platform through Olo solutions and helping our brands to really understand their guests across digital and non-digital transactions and to then use that data to personalize the guest experience and ultimately grow guest lifetime value as an alternative tactic to discounts and deals and dependence on marketplaces that you see a lot of restaurant brands doing as short-term attempts to drive top line sales, but at the expense of the long-term health of the brand. Driving profitable traffic is what we're focused on. It's what our customers are focused on. And I think our position as that nucleus of guest data and helping our brands to, with the guests permission, pull as much guest data as they can from zero-party data that guests are offering, first-party data of all the transactional activity from those guests, and then increasingly, in our borderless platform, that second-party data where the brands are really using borderless as a coalition and the ability to have an alliance where they can share data across the brands in that log-in layer to give a better guest experience and to enable brands to win with more guest data at their disposal to grow those guest relationships over time.
Mike Richards: Thanks and congrats again.
Operator: Thank you. The next question comes from Max Michaelis with Lake Street Capital Markets. Please go ahead.
Max Michaelis: Hey, guys. Thanks for taking my question. Nice quarter. I just wanted to stick to the Chipotle win. When we look at the catering business, had they been using a homegrown technology or were they -- did you guys displace a competitor on that win?
Noah Glass: That's right. They were -- they are using a homegrown catering platform, kind of an offshoot of their homegrown digital ordering platform for takeout and delivery orders, and saw the Catering+ feature set as something that would add new capabilities, things like tax-exempt status and house accounts and other catering-specific features. And then beyond that Catering+ module, the other modules that we offer being additive to the overall catering solution.
Max Michaelis: And is there a time line around this pilot program?
Noah Glass: I think we shared that this is in a subset of stores, and it's going to be in this pilot phase, and that's going to be middle of the year, this year. That's kind of all we have to share at this time, and we're excited to keep you abreast of our progress and excited about working with Chipotle, great brand, great tech team, great product team to drive this forward.
Max Michaelis: Okay. And last one for me, and then I will jump back in the queue. When we look at Mr. Chapman coming on to the team here as the Chief Sales Officer, maybe what sort of new initiatives could we expect from him?
Noah Glass: Yeah. Well, I'll just take the opportunity to express how excited I am for Parrish Chapman to be joining us. Parrish is someone that we know well. He has been a partner leading sales at GRUBBRR, a kiosk partner of ours that serves top 25 and large enterprise restaurant brands. So we've gotten to know him just in our day-to-day relationship with GRUBBRR and the team. And he's somebody who really fits the bill of all the things we were looking for in this Chief Sales Officer. This is a really focused role dedicated to bookings, going out and winning new customers, growing our relationships with existing customers. And Parrish is somebody who is of the restaurant industry, starting out on the executive team at Wendy's as an operator of Dairy Queen and then working in the restaurant technology side at Panasonic, at Samsung and most recently at GRUBBRR in his sales capacity. He is somebody who is a proven sales leader and builds trust very quickly with customers and prospects. And he's here in New York, which we're really excited about to have the full executive team here in New York City working out of One World Trade Center altogether. And I think this role, again, is very focused in going after bookings and being laser-focused on that front instead of a broader mandate of the Chief Revenue Officer, some of those things, if you recall from our last call, have now shifted over to Jo Lambert, our COO's organization. So marketing, business development and customer experience now live under Jo, and we're very pleased about both the innovation and the commercialization at Olo living together under one leader and enabling the sales team under Parish as a great new leader to really be focused on bookings and growing our relationships with our existing customers.
Max Michaelis: Awesome. Thanks guys.
Noah Glass: Thank you.
Operator: Thank you. The next question comes from Stephen Sheldon with William Blair. Please go ahead.
Pat McIlwee: Hi, team. Pat McIlwee on today. Nice results and congrats on the wins you announced. My first question is on the gross profit acceleration you saw this quarter, even adjusting for that onetime benefit. So I want to ask, is there any way you can frame how much of that reacceleration came from payments versus software? And then, Peter thanks for framing the first half expectations, but can you confirm that you still expect a reacceleration in gross profit growth following the second quarter this year?
Peter Benevides: Yes. Maybe starting with that last part first, that is correct. We are still forecasting a reacceleration of gross profit starting in Q3 and through the back half of the year, and that is as we lap a more difficult compare in the first half of '25 as compared to the first half of '24. I made a point in the prepared remarks that I think is helpful in kind of framing some of the onetime items we experienced this quarter, but also onetime items we experienced in Q2 of 2024. If you normalize for both of those onetime items and compare first half of '25 growth rate as compared to first half of '24, we've actually accelerated growth in the first half of '25 at about 14% based on what's implied in the guide versus 12%-ish in the first half of '24. Even when you account for the onetime items this past quarter, the year-on-year growth rate for gross profit was around 16%. And there's really 2 things driving that reacceleration. The first is pulling in more locations into Q1 from Q2 than we anticipated. So we had a healthy deployment quarter and that also kind of trickles down to incremental product modules that don't show up in unique locations, but they show up in strength of ARPU. So we saw some additional product modules coming on faster in Q1 than we had anticipated. The second thing that was helpful in Q1 in terms of accelerating gross profit growth was the strength in order volumes. And we saw that, in particular, within the QSR segment, the limited service segment and the platform, where order volumes year-on-year and on a same-store sales basis performed really well in the quarter, which has again helped to reaccelerate that gross profit growth.
Pat McIlwee: Got it. Okay. Thank you, Peter. And then my second, a bit more theoretical, but just having rounded out your platform over recent years with both continued innovation and a number of partnerships you've announced, how do you feel about your competitive positioning at this point? And are there any other products or modules or white space you hope to build out over time?
Peter Benevides: Well, I think we feel really good about our competitive position. And I think the proof is in the pudding with the gross revenue retention for the ninth quarter now being above 98%. We're in a solid position from that standpoint with our customers, we've gotten to mission-critical status with them, and they continue growing the number of modules they're using and the number of orders going through the platform on a per store basis. So we become more and more mission-critical over time, and you can see that in the net revenue retention numbers. I think also when we look at the business, we've talked about this a couple of times, but we think about the different suites of Order, Pay and Engage really as three S curves of growth. And all of them are growing. And it's exciting to see with order the success that we're having, not just with the typical triumvirate of ordering, dispatch and rails, but now with Catering Plus that has been a real green shoot in the order platform. It's exciting within Olo Pay to continue growing and scaling card-not-present, which has scaled 10x over the last two years, but has a huge runway ahead of it and then to now unlock even more white space with Olo Pay card-present and to start to have these proof points where we have a public enterprise customer who is coming on to Olo Pay card-present and becoming a full flywheel customer. That is a great proof point, a great validation of the Guest Data Flywheel strategy, and we're very excited about that, tons of white space there. And it sets up the ability to use all of that guest data through the Engage platform to really optimize outbound marketing to guests and to personalize the guest experience through the commerce platform itself, and that is the full flywheel spinning. We think there's a lot of opportunity for us to do even more with data, and there's a lot of opportunity for us to help brands use what they know about their best guests to inform their advertising efforts to go and find more guests who look like their best guests. I talked a little bit about zero first-party, second-party data. There's also a big third-party data opportunity. I think we are just scratching the surface on that, and it's something that we're very excited about in the quarters and years to come.
Pat McIlwee: Okay. That’s all great. Thank you, Noah. Nice quarter.
Noah Glass: Thank you.
Operator: Thank you. As there are no further questions, I would now like to hand the conference over to Noah Glass, Founder and CEO, for closing remarks. 
Noah Glass: Okay. Thank you for joining us today. We had a great start to the year across the board, and we believe Olo is uniquely positioned to help enterprise brands do more with less and drive profitable traffic. We're helping restaurants leverage guest data to make their guests feel known, the foundation of hospitality. And we're achieving this while continuing to deliver strong financial results. Have a great evening.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.